Silvia Ruiz: Good afternoon, everybody. This is Silvia Ruiz speaking. I would like to welcome you to Ferrovial's Conference Call to discuss the Financial Results for the Full Year 2021. Just as a reminder, both the results report and presentation are available to you on our website. As in previous results and although some restrictions to mobility have been lifted during last year, we would like to highlight the financial information included in our report has been impacted by the COVID-19 outbreak mainly since the second half of March 2020. Given the uncertainty regarding the speed and the extent of the full resumption in activity, it is not possible to predict how the health crisis will affect Ferrovial's group information and performance in 2022. Ferrovial will continue to closely monitor trading conditions and further evidence of wider economic impacts. I am joined here today by Mr. Rafael del Pino, Ferrovial's Chairman; Mr. Ignacio Madridejos, Ferrovial's CEO; and Mr. Ernesto Lopez Mozo, our CFO. If you have any questions, you may ask them through the forum included in the webcast. During the Q&A session at the end of this call, we will be reading out your questions and who they are from. With this, I will hand over to Mr. del Pino. Rafael, the floor is yours.
Rafael del Pino: Thank you, Silvia. 2021 was the turning point in the COVID-19 global crisis on the back of vaccine rollout, allowing the countries in which Ferrovial operates to start lifting mobility restrictions. Despite the outbreak of new COVID-19 variants and surges in cases that impacted the recovery, Ferrovial was able to achieve solid growth. In Toll Roads, our main assets showed a solid recovery when mobility restrictions were lifted, especially the U.S. managed lanes that have attained or even exceeded pre-pandemic traffic levels and outperformed in terms of revenues. Airports has been the division most heavily impacted by COVID-19 given that restrictions for air travel have been in place for most part of 2021. Once removed, traffic should pick up quickly given the signs of pent-up demand. Construction delivered strong results with a 2.2% EBIT margin despite the inflation impact and material shortages. During 2021, we have carried out a series of transactions aligned with the Horizon 24 strategy presented 2 years ago. We increased our exposure to U.S. managed lanes by acquiring an additional stake in I-66. We also acquired a minority stake in IRB, a leading Indian toll road developer; significant advances achieved in the divestments of the Services division with the sales of Services in Spain and oil and gas in the United States; additionally, a number of noncore assets in Construction were divested, including Budimex Real Estate and recycled aggregates at Webber. And lastly, a few days ago, we announced the agreement reached with YDA to acquire 60% stake in Dalaman International Airport. An asset that holds attractive growth prospects will diversify Ferrovial's portfolio and increase its operational capabilities. We finished the year with a strong cash position reaching €2.2 billion, driven by divestments, good activity cash flow from contracting activities along with higher dividends from our main toll roads. ESG is a core part of our strategy and fully aligned with our business strategy. We are advancing a good pace on Ferrovial sustainability targets, with all business units contributing to the group's decarbonization transition. In this slide, we will review some of the main figures of the year. Revenues stood at €6.8 billion on the back of higher construction revenues and increased contribution from Toll Roads. Construction order book reached an all-time high of €12.2 billion, with 39% coming from North American projects. Dividend from projects increased by 20% versus 2020, reaching €550 million. Gross investments stood at €1.1 billion, being the main investment the I-66 and the acquisition of 24.86% of IRB. Gross divestments in the year totaled €1.6 billion in inflows. And the net cash position, ex infra projects, reached €2.2 billion. Now Ignacio will review Ferrovial's strategy on the 2021 results by business unit. Ignacio, the floor is yours.
Ignacio Madridejos: Thank you, Rafael, and hello, everyone. Let me start by confirming our strategy. Our vision is to develop and manage sustainable, efficient and innovative infrastructure for our world on the move. As part of our Horizon 24 plan, we defined 4 strategic priorities, people, sustainable growth, operational excellence and innovation, each of them with clear KPIs almost all progressing according to plan. We also decided to divest our Services division, which is well advanced, and to focus on organic growth mainly in the U.S. We are developing 2 new managed lanes in the U.S., I-66, in which we increased our stake last year, reaching 55.7%, which will start operations this year, and the 35 West 3C that will be finished by the end of next year. We have a good pipeline of infra greenfield projects in the U.S., including prequalified projects and solicited managed lanes and negotiated opportunities like new Terminal 1 in JFK. This week, Georgia Department of Transportation has launched a P3 plan, including managed lanes projects, so very positive news on potential opportunities. Additionally, we have invested in infra assets in other geographies with growth perspectives. Good examples are Dalaman Airport, a bet on traffic growth in a premium, Mediterranean, touristic destination; and our stake in IRB. India is a very attractive market with good returns and growth opportunities. IRB has very good infra assets, a good team and a business model similar to us in developing greenfield toll roads. We are also building engineering capabilities in energy and water and learning about new infra needs in mobility. Last year, we also improved by 23% our shareholder remuneration, including share buybacks. And finally, sustainability is at the core of our strategy, considering our capital allocation decisions and helping us to present more competitive offers. We are fully committed to reaching carbon neutrality and to helping others with infrastructure needed to decarbonize the society. Now moving to our Toll Road division. Last year, we increased our Toll Roads revenues by 36.8% and EBITDA by 47.9%. This data does not include equity-accounted assets. We achieved this growth thanks to the recovery of traffic in all assets. The U.S. projects represent 72% of Toll Roads revenues and 83% of EBITDA and supported last year growth. Total dividends from Toll Roads were €469 million, a 38% increase versus previous year. We sold last year Norte Litoral for €47 million, and we are awaiting government approval for the sale of Algarve with a €25 million expected contribution. Our 2 new U.S. managed lanes are progressing well. I will comment later about the I-66, but the 35 West 3C is 52% complete, should be finished by the end of next year and we still need to invest €76 million. With this addition, the 35 West will be the largest of our Texan managed lanes and will connect Fort Worth downtown with Alliance cargo airport. If we move in more detail about the 407 and Toronto area, traffic has recovered in the 407 compared to 2020. But still, at the fourth quarter 2021, was 24.8% below 2019. This reduction of traffic in the 407 versus 2019 is mainly related to the restrictions on mobility in the Toronto area that were increased at the end of December due to Omicron variant with a gradual reopening schedule to last until mid-March. The situation of the 407 is similar to other transport options in Toronto. Estimated traffic on major alternatives had a similar reduction last quarter, and urban transit in the area was even lower because of the preference of individual transportation. We also conducted a survey comparing personal user trips in different cities. Toronto was, last November, 30% below pre-COVID number of trips, while Dallas was minus 15% and Barcelona minus 9%, confirming the negative effect of restrictions in Toronto compared to other geographies. This restriction to mobility affected not only peak times of traffic but equally other times of the day and the week, like midday and weekends. The same survey conducted by IPSOS brings users' expectations of a recovery of business, shopping and leisure trips. Regarding commuting, users expect to be below pre-pandemic level with an expectation of between 2 and 2.5x work from home compared to pre-pandemic. On the next slide, we will take a closer look at the 407 users' profile. The 407 has limited exposure to personal commuters. 39% of the revenue is generated by business clients, which are those who have a business account. They could be heavy or light vehicles and usually work in logistics, construction and professional services or it could also be company fleets. 61% of revenue is coming from personal users, most of them infrequent users. Only 7% of personal customers make more than 10 trips per month. This info was very similar before the pandemic. When digging into the purpose of the trip of personal customers, according to the survey, 16% of total revenues, which is 26% of personal user revenues, is coming from personal commuters and it only represents 19% of personal trips, being the majority of them 40% related to leisure. Also looking at the origin destination of the trips, 40% are related to the major employment zones, being one of the largest the Toronto Pearson Business Zone that represents 13% of total trips. However, Downtown Toronto only represents 1% of the trips. In addition, network congestion is expected to grow in Toronto area. E-commerce will have a positive effect in the traffic of the 407. It is expected to grow from 11% today to 22% by 2030, still below the numbers in the U.S. The 407 is very well positioned to serve top e-commerce players. All of them grew last year, their 407 usage over 2019 level. Also, population is expected to grow in Greater Toronto at 1.2% per year to 2040. The area will have 2 million more residents, a large portion of them within the 407 corridor. Areas like York, Durham or Halton, all shared by the 407, experienced the highest growth of residential units last year. In terms of performance, the 407 increased revenues by 12.6% last year; and EBITDA, 16.1%, also below 2019 levels. Average revenue per trip increased 4.6%, thanks to the higher proportion of heavy vehicles because the toll rates were not changed the last year. It distributed CAD 600 million, all of them in the fourth quarter, and has a strong financial position with more than CAD 300 million of cash at the end of last year. No changes with respect to Schedule 22. We are still in the middle of the pandemic and it is, of course, a force majeure event. Moving now to the Texan managed lanes. We can see the traffic evolution of the 3 assets with the different effects along the year. The NTE and 35 West were in line or above pre-pandemic level, while LBJ keeps improving. In December, traffic was plus 5.4% versus 2019 in the NTE, plus 8% in the 35 West, and minus 18.7% in the LBJ. It was affected by Omicron and a positive effect of the day of the week of Christmas Day and New Year. The revenues in U.S. managed lanes performed versus pre-COVID level in most of our assets. Except for the LBJ, the other 3 are in levels of traffic above February 2020, and all of them have a much better performance in terms of revenues thanks to the increase of tariffs in the last 2 years, good performance that will have been much better without the pandemic and the effect of work from home because most of our assets are still ramping up in terms of traffic and tariff. We had a good increase in our revenues and EBITDA in all 3 managed lanes in 2021 compared to the year before. Despite the new COVID waves, we had a resilient heavy traffic, mandatory mode events at NTE, and a good recovery of the midday and afternoon peak. Average revenue per transaction grew 13% at NTE, 5% at LBJ and 16% at 35 West thanks to the higher proportion of heavy users and higher toll rates. Regarding inflation impact in the Texan managed lanes, soft cap is directly linked to inflation, and it was increased 7% at the beginning of 2022. On top of it, we may have mandatory modes and potential further toll rate optimizations. The Dallas/Fort Worth area is growing with more and more companies with headquarters in the region investing in industrial space and growing in population and employment. We move now to discuss the I-77 on this next slide. The project increased revenues and EBITDA versus previous year. Revenues per transaction grew 47%, supported by the mix of traffic and toll rates. The traffic is recovering well after new waves of COVID cases, beating expectations. We want to see its performance without the pandemic. It is supported by the growth in the area, increase in employment and population. It will also benefit in the future by the freedom to set tariffs with no contractual cap. On the I-66, as commented previously, we increased our stake, reaching 55.7%. Total equity invested in this toll road will be €866 million. It is expected to open to traffic at the end of this year as scheduled. In terms of traffic, it looks positive, being a high congested area with a household income well above Dallas and public used to pay tolls. Also, in terms of tariffs, we don't have limitations and it will be based on the value received by the users, including heavy traffic with no multiplier. The project is globally integrated into Ferrovial's account, including €1.5 billion of additional debt. Now moving to the Airport business. Last year, traffic at Heathrow reached 19.4 million passengers impacted by travel restrictions. However, the restrictions were lifted on 11th of February for vaccinated passengers. And because of that, Heathrow maintains its traffic forecast of 45.5 million passengers for 2022 despite the negative effect of Omicron in January. Despite the lower number of passengers, Heathrow increased revenues thanks to cargo and non-aero revenue initiatives. Also, cost mitigation initiatives improved EBITDA. All this helped to reduce the cash burn and maintain a solid cash position at GBP 4 billion at Heathrow group. In the case of Heathrow, both RAB and tariffs are linked to RPI, while the hedge to inflation only covers 50% of the RAB value. We're waiting for the CAA final proposal for the H7 in which we expect they follow the building blocks of regulation and compensate with a fair return to the investment made in a world-class asset that gives good services to its customers. AGS also improved revenue, traffic and EBITDA compared to previous year, also still highly impacted by restrictions similar to Heathrow. EBITDA was supported by managing cost and operating in a reduced minimum. The amend-and-extend debt facility was completed in the first half of the year with a maturity in June 2024. The liquidity position amount at the end of the year was GBP 39 million, and the net external debt was GBP 716 million. Dalaman, our new addition to Airports portfolio, is a premium touristic destination in the Mediterranean with the highest potential for development of luxury hotels and attraction of European tourists; in the year 2019 welcomed 4.9 million passengers, 68% of which were international from 63 different destinations. And the airport experienced a 78% growth from 2006 to 2019. Most of the passengers are from the U.K., and they represent 47% of total revenues. The airport is well designed with 2 runways and 2 terminals with enough capacity to absorb relevant growth expected in the following years with a total capacity of 20 million passengers. We are investing €140 million for a 60%, remaining YDA as partners in the asset. Total net debt is €151 million. The enterprise value to 2019 pro forma EBITDA multiple is 13.7x. The operating rights will last until 2042, and the aeronautical fees are set until the end of the concession. It is the perfect asset to bet on the recovery of air traffic after the pandemic in a touristic area that was already growing before the pandemic, and it is even more affordable today. 8% of the revenues are generated in euros, with passenger charges set and paid in euros. Ferrovial will bring operational capabilities and innovation to the asset, working together with our strategic partner, YDA. Looking at the Construction business, revenues, EBITDA and EBIT increased compared to 2020. Our EBIT margin reached 2.2% even after absorbing inflation impact on supply prices. It was supported by Budimex' performance with a 6.4% EBIT margin, excluding the extraordinary positive impact of the real estate business divestment. Also, we have included in the Construction business the road maintenance services in the U.S. and Canada and the energy efficiency and Siemsa business in Spain that contributed last year with €316 million of revenues and €14 million of EBIT. At the same time, we are excluding the contribution of the noncore asset sales of Budimex Real Estate business, the recycled aggregates at Webber and some assets in Spain. It will help us to deliver a strong activity cash flow of €518 million for the Construction business. Also, we keep our outlook for cash consumption in 2022 of the U.S. works related to the loss-making contract provision in 2019. We also finished the year with a record-level order book above €12,000 million, 39% in North America and 25% in Poland. We continue improving profitability in line with the Horizon 24 target of 3.5% EBIT margin. Moving to the Services division. We progressed well last year with the divestment process. In December, we closed the sale of the environmental services in Spain and Portugal to PreZero for an equity value of €1,032 million. In January '22, we closed the sale to Portobello of our services infrastructure business in Spain for an equity value of €171 million with earnouts up to €50 million to be applied after transaction closing. At the same time, we acquired 24.99% of the leveraged vehicle created for a €17 million investment. Fourth quarter 2021, we closed the sale of the oil and gas business in the U.S. for a $16 million equity value to Architect. These divestments last year were on top of the Broadspectrum sale in 2020 to Ventia for a €300 million equity value. The remaining processes are Chile and U.K. Both are advancing and expected to close this year. Some activities will continue in Ferrovial. It is the case of the road maintenance business in the U.S., the energy efficiency business unit in Spain and the power construction unit that will remain with our Construction business. Also, the A-2 concession and the Emesa business will remain with Cintra. And we will keep the U.K. waste treatment plants until we reshape and commission before we sell them. Sustainability remains at the core of our strategy, and we see it as an opportunity. We are progressing well in our main KPIs. Serious and fatal incident rate reduced 15% last year. Our Scope 1 and 2 absolute emissions were reduced by 23.5% compared to 2009. 78% of electricity consumption was from renewable sources. Our water consumption was reduced by 31% versus 2017, with a 50x annual compensation and 47.7% of presence of women among new recruits to junior positions. Some of the highlights of the year were the initial construction of a 50-megawatt plant for self-consumption, a new road map for our AGS Airports to reach net zero carbon emissions by the mid-2030s, the addition of 2 new female Board members, the inclusion of the climate strategy and the CO2 emissions reduction plan for consideration at the general assembly, the creation of a new energy infrastructure mobility business unit, and our first taxonomic report with 89% of eligible revenue according to EU taxonomy. Last year, we enforced our position in all main sustainability indexes, renewing our presence in the Dow Jones Sustainability Index, FTSE4Good, CDP and Vigeo while improving our ranking in GRESB, Sustainalytics and ISS ESG. Now Ernesto will continue with main financial information.
Ernesto Lopez Mozo: Thanks, Ignacio. Operating profit for the year grew 95% based on Toll Roads and Construction performance. Ignacio has reviewed this part in detail. I'll cover the remainder of the P&L. Disposal and impairments reflect the fair value uplift of our participation in the I-66 toll road. Upon acquisition of control of the asset, our stake increased from 50% to 55.7%. Financial expenses from infrastructure projects increased on the back of Autema's inflation swap. Our book value of Autema is a negative €160 million. And given the nonrecurring nature of the financing, this carrying value will be unwound in the future. Financial expenses at the ex infrastructure project level decreased, thanks to the positive impact from equity swaps to hedge employee performance share plans and U.S. inflation swaps. Equity-accounted affiliates reflect mainly the positive results of 407 ETR and the negative impact from Heathrow and AGS. Please bear in mind that our equity participations in Heathrow and AGS have reached a book value of 0, and no further losses are recorded from that point. Net profit from discontinued operations was a positive €361 million, reflecting mainly capital gains on the disposal of the Budimex Real Estate business and environmental services in Spain. Moving to the next slide, we can review the main items affecting the net cash position ex infrastructure projects, good level of dividends from infrastructure projects at €550 million, working capital consumption caused by return of advanced payments in construction in Slovakia and Poland and mainly with unwinding of favorable working capital COVID measures provided in 2020 by the government and public clients in the U.K. Taxes are affected by a one-off tariff in Spain of close to €80 million that is effectively unwinding a tax field that was used in the past related to early project losses in the 407. Otherwise, cash taxes are mainly due to the Budimex. Investments and divestments have already been discussed. Cash to shareholders reached €463 million. Limited liquidity at the year-end did not allow for more share buybacks. Finally, other financing cash flows refer mainly to derecognition of testing businesses that have been sold and dividends to minority shareholders at Budimex. This number is just over €80 million. And now let me hand the call back to Rafael.
Rafael del Pino: Thank you, Ernesto. We remain confident on the significant growth when looking ahead based on the back of 3 pillars: post-pandemic traffic recovery in all our infrastructure assets but mainly in 407 and Heathrow; good infrastructure assets with long duration located in diversified growth areas and with a positive exposure to inflation; and last but not least, clear investment opportunities in the future. Our focus remains on developing infra projects in the U.S. where we may have differential capabilities. Looking at 2022 shareholder remuneration, the Board has approved 2 scrip dividends, which, as a reference, could imply $0.715 per share in total to be distributed in 2 payments. And we will continue with our share buyback program of up to €500 million or 34 million shares. Well, thank you for your attention, and we open now the floor to questions.
A - Silvia Ruiz: Thank you very much, Rafael, Ignacio and Ernesto. The Q&A session will begin shortly. Please stay tuned. Okay. So let's start the Q&A session. First set of question comes from Nicolo Pessina from Mediobanca. So first question, do you expect more dividends from LBJ in 2022 if traffic improves versus 2021?
Ignacio Madridejos: Thank you for the question. The answer is yes, we'll continue giving dividends in LBJ similar to what happened in NTE last year, but it will depend, of course, on the traffic and the revenues in the following years. But yes, we can give dividends in the regular way.
Silvia Ruiz: Okay. Second question, is there any time constraint for NTE, 35 West, I-77 and I-66 to pay dividends?
Ignacio Madridejos: Yes. In the case of 35 West, they cannot start to give dividends until they finish the construction of the 3C. In the case of the I-77, it's in 2024, the first year that they can give dividends. And in the case of the I-66, it's 1 year after they have paid -- it's 12 months after they have -- after they paid 12 months to TIFIA that they can start to pay dividends.
Silvia Ruiz: Next question. Would you consider increasing tariffs in 407 ETR before traffic has recovered the average 2017, '19 traffic level?
Ignacio Madridejos: Well, in the case of the 407, we can increase tariffs anytime. Of course, we'll do that when it makes economic sense. So we'll consider the increase of revenue with the additional tariff, the elasticity of the traffic and, of course, possible Schedule 22 payment. And right now, we are in the middle of a pandemic with restrictions. So we'll have until that's over. But yes, of course, it will be just a poor economic decision that will take any time that it makes sense from an economic point of view.
Silvia Ruiz: Last question, can we assume the return to the 2019 dividend level for Ferrovial in 2022?
Ignacio Madridejos: I think that was answered by Rafael during the presentation, and yes is the answer.
Silvia Ruiz: Okay. Next question coming from Robert Crimes from Insight. Could we have some details of Dalaman Airport, such as EBITDA, EBITDA margins, net debt acquired, regulation and mix of aeronautical and non-aeronautical revenues?
Ignacio Madridejos: Well, we can share -- we already shared some information during the presentation, and the net debt we commented at that time is €151 million. Also, the EBITDA is included in the presentation before, €28 million. The margin is not in the presentation but it's 83% without the concession fee and 47% with the concession fee. I think that that's -- and the split, we are not including that information. So it's something that we are not disclosing the margins that are -- or what is the EBITDA coming from aeronauticals and non-aeronauticals.
Silvia Ruiz: Okay. Next question coming from Francis Greywitt from DWS. It sounds like your appeal regarding the Maryland assets was upheld. What happens next? Do you expect it will be retendered?
Ignacio Madridejos: Yes, the judge reviewed the case that the protest that we presented, and this was mainly about if the protest was presented in time. And the 3 of the 4 points, the main 3 points that we presented, the judge considered that was -- they were presented in time. And the judge gave a certain period of time to the Maryland DOT to review the content of the protest. So this is what is expected in the following weeks or months.
Silvia Ruiz: Next set of questions coming from Luis Prieto from Kepler Cheuvreux. First question, could you please update us on what you know -- now estimate the economic magnitude of the potential U.S. managed lanes opportunity to be in terms of equity investment and within what time frame?
Ignacio Madridejos: Well, yes, we are optimistic in general about the pipeline that we have in the U.S. as commented during the presentation. On top of the managed lanes opportunities, as commented, we were prequalified also for other traffic risk or availability projects in the U.S. We have negotiated also projects like the JFK that we are negotiating right now. But in the case of the U.S. managed lanes, we don't disclose in the -- for the deals in which we are working on or unsolicited opportunities that we are working. The only thing that we disclosed is when it is public information. And also in my remarks of the presentation, I mentioned that the Georgia -- new Georgia managed lanes, the new managed lanes were announced this week by Georgia DOT. So this is too early to estimate what could be the equity contribution for this project because, well, first, we need to understand the total construction work, what will be in each of these opportunities, but this is future opportunities in terms of total investment.
Silvia Ruiz: Next question, beyond what you just mentioned about Georgia's new PPP plan, what other opportunities should we keep on our radar screens? Do you feel competition for high complexity projects could meaningfully increase versus previous years?
Ignacio Madridejos: As commented, we don't disclose other unsolicited projects in which we are working. And of course, there will be competition. In general, we expect that at least, the competitors will requalify for each of the managed lanes opportunities. And for us, it's about developing capabilities to be competitive in each of these projects.
Silvia Ruiz: Next set of questions coming from Filipe Leite from CaixaBank. First question, why the contribution from others to EBITDA reached minus €41 million in full year '21 when in 9 months, it had a €0 million contribution?
Ernesto Lopez Mozo: Yes. Thanks, Filipe. So well, I'll explain the other towards the fiscal year-end 2021. And probably the 9 month '21 was in a different line. We'll check that and come back to you. Because basically, the €41 million reflects provisions for waste treatment in the UK for the availability of some plants and also provisions for litigation that has been canceled and settled in the U.S., right, regarding the SH130. So that's the bulk of the impact on the other.
Silvia Ruiz: Next question, can you give us more visibility regarding the ongoing negotiations to acquire a stake at new Terminal 1 at JFK? Or any visibility regarding the lease agreement contracts signed by new Terminal 1 with the local administration for the expansion of the terminal?
Ignacio Madridejos: Well, unfortunately, not yet. As commented, the release -- press release that we made last week, in the case we have just negotiated with Carlyle to take the participation in the new Terminal 1 consortia. And at the time -- for the time being, we cannot comment more than that.
Silvia Ruiz: Okay. Next question coming from Elodie Rall, JPMorgan. Could you comment on current traffic trends on the 407 since the beginning of the year and since the lifting of restrictions? Have you seen a recovery recently?
Ignacio Madridejos: Yes. We have to remember that the restrictions in Canada and especially in Toronto are like not in any other country probably in the world. They started in December restrictions, like home schooling, work from home and closing or reduction capacity in restaurants, no gathering of more 5 people, and they continue with those restrictions for most of January. There are some restrictions still in Canada, in Toronto, specifically that they will continue until mid-March. So it will take time to see the full recovery after the restrictions are lifted. And at the same time, hopefully, we'll not see additional restrictions or additional waves of COVID. So we need to wait to see the evolution and to see the recovery, but it's too early because still, the restrictions or some of the restrictions are there.
Silvia Ruiz: Next set of questions coming from Tobias Woerner from Stifel. First question, U.K. services with an EBITDA of €131 million is purely Amey?
Ernesto Lopez Mozo: Yes, it's Amey. We are not considering other businesses that are in the Amey perimeter but consider continued operations like waste treatment, so with pure Amey.
Silvia Ruiz: How will you sell Amey? In parts or as a whole? And where are you with the process?
Ignacio Madridejos: In the case of the sale of Amey, as commented, we are working, and we expect to close this year. Also, until we have an SPA signed, well, we cannot -- nothing is done. As commented, we are -- we kept the waste treatment plants that some of them are ramping up in some commissioning to sell them later once they are at the right production levels. And also, we saw last year, the collection -- waste collection business independently. So the core -- what we call the core Amey, it will be sold altogether, but that is mainly the transport infrastructure and the facility management or secure infrastructure. And we'll give some news whenever we sign an SPA.
Silvia Ruiz: Last question from Stifel, where is your traffic in February '22 versus February 2019 at your toll roads and specifically 407 and Texan toll roads?
Ignacio Madridejos: As commented in the case of the 407, well, still they have restrictions. This is, of course, recovering once these restrictions are lifted but still is ramping up, and we have to see the full potential in the following months if no more restrictions and no more variants. In the case of the Texan toll roads in -- they were affected, of course, in January because of Omicron. And now they are performing well. The only thing is that when we have winter storms, we have to -- we have less traffic than normal, but we will, of course, more details at the end of the quarter.
Silvia Ruiz: Next set of questions coming from José Manuel Arroyas from Santander. First question, can you please describe the traffic patterns you are seeing in the 407 ETR now that the restrictions and mobility are being lifted? Does the traffic curve during the day resemble that of Dallas-Fort Worth, with higher traffic at the midday and more pronounced in the afternoon versus the pre-pandemic situation?
Ignacio Madridejos: Well, restrictions are not fully lifted yet in Toronto. And well, it's not even similar to Dallas, what we see in Toronto because of these restrictions is that there's also the weekends and the midday. And even during the whole period, the traffic and the mobility is lower compared to other places. Again, we need to remember that Toronto is kind of special case, and they have maintained many more restrictions than any other country and is affecting mobility in general in the area.
Silvia Ruiz: Next question, tolls on the managed lanes in Dallas-Fort Worth have been very close to the soft cap for most of 2021, and mandatory mode events have been very often leading. Can the soft cap be removed or lifted?
Ignacio Madridejos: Well, we have seen some mandatory modes in the case of one segment of the NTE in a regular way during last year. And well, the soft cap and the tariffs, the way they are defined, they are part of the contract, and either way, it will work in the future. You know how it works that when a certain number of vehicles or speed reach certain limit, then we increase the price until the number of vehicles or the speed are below that threshold, and then we have a period of time to reduce it. It will continue working like that in the future.
Silvia Ruiz: Last question from Santander, can you please quantify the EBITDA potential of the Services subsidiaries Ferrovial has decided to retain either permanently or just temporarily, such as Amey?
Ernesto Lopez Mozo: Okay. So well, there's a bunch of businesses here, José Manuel. Let me try and give you some color. For instance, we are retaining the A2 Aravia concession. It's a maintenance concession, but it's in effect a shadow toll. Well, it has an EBITDA of close to €30 million every year. And the remaining value you have to take into account, it had a capital structure, dividends, so probably, the remaining value is close to between €15 million, €18 million, right? You also keep the EMESA contract, this participation of a concession that operates the M-30 in Madrid. And therefore, the value of these assets, we are not disclosing, but probably you have like 4, 5 years to go. And the value could be -- I mean, in a rate higher than the Aravia contract, we cannot be specific given that, that contract could be having different durations. In terms of other businesses that we retain, Amey, the underlying probably is close to GBP 60 million, GBP 65 million of EBITDA, right? And this year, it had a little bit higher results because some defense contracts were being finalized. But the underlying now is GBP 65 million and growing. And then other businesses, it's probably not worth mentioning them like road maintenance in the U.S. that becomes part of construction. And then we have also the Italian business that is the maintenance for mining, where EBITDA ranges between €10 million to €15 million price. So it's different bits and pieces with different durations. It's better to keep them on a transaction-by-transaction basis, we'd be informing the market. And I take the opportunity also to clarify the previous comment about others EBITDA being 0 in the 9 months of 2021. As I mentioned that there was a change in line, the Aravia contract that basically added €23 million positive was combined with a €23 million negative. So the €41 million negative that Filipe was seeing in the full year was €23 million negative on a comparable basis, okay? So that's basically it. I mean, we have other small works like energy. It's businesses that we retain, but as I said, the EBITDA right now is not relevant. The growth in the business could be important, but that's something that we will keep intact a long time.
Silvia Ruiz: Next set of questions coming from Marcin Wojtal from Bank of America. First question, could you explain the rationale behind your dividend increase? And can we expect a more formal policy for ordinary dividends?
Ignacio Madridejos: Well, we have been consistent in terms of giving dividends. We did in 2020. We increased them last year. And for this year, we are back to the levels of 2019. The way we take the decision is based on the forecast of what is going to be the dividend that we get from our infra assets and the customers from the Construction business, and at the same time, what the investments we may have in the following years. And based on that, the Board takes a decision about the dividends for a period like we have done today.
Silvia Ruiz: Next question, do you expect to announce the sale of the remaining Services unit in first half 2022?
Ignacio Madridejos: We will announce when we sign an SPA. Until then, of course, we cannot anticipate anything. And as soon as it's signed, we will announce.
Silvia Ruiz: Next set of questions coming from Victor Acitores from Societe Generale. Can you repeat the P&L implications of having Heathrow and AGS 0 book value? I did not take your explanation, too. Is that 3.5% margin EBIT target 2024 still in place?
Ernesto Lopez Mozo: Yes. Thanks, Victor. So the first part regarding the P&L implications, I mean, once you have reached an accounting value of 0, that means you have been consolidating losses and you reached 0 on an equity accounted stake. Even if it keeps losing money, you don't have to consolidate that. Of course, on the way back, when Heathrow starts making money, you have to recover all these losses you have not consolidated before you start reflecting profits, right? So it's just that explanation. And regarding the 3.5% EBIT margin target, it's -- of course, this is still in place for Construction.
Silvia Ruiz: Next set of questions coming from Nabil Ahmed from Barclays. First question, working capital was an outflow in Q4, which, if I recall well, is relatively unusual. Could you please elaborate on the cash consumption reason?
Ernesto Lopez Mozo: Yes. I mean, the main reasons to have cash consumption in the last part of the year are more related to the U.K. I mean, in the U.K., as I mentioned, before, you had very favorable measures in 2020, like a delay of VAT, also very favorable terms of payment from clients. And well, Amey has been reducing now in line with the practice in the U.K., the days of payment to suppliers, right? So that has an effect there. And then we have less advanced payments in other parts in Construction that maybe were received earlier in the year and not in the first quarter. So in particular, in Poland, the comparison to last year has been on less advanced payments.
Silvia Ruiz: Next question, JFK Terminal 1 project with Dalaman, that's 2 transactions in Airports in a short period of time. Could you please update on your strategy in this field? What type of assets are you looking at? What do you think Ferrovial brings to these assets? How do you create value?
Ignacio Madridejos: Yes. About Airports, in general, we are optimistic about the Airports and how it's going to be in the recovery in the future. For the time being, we have only one, that is Dalaman. JFK has commented previously, something that we are still negotiating. It's something that we have closed. And our strategy is we can get good opportunities with the 2-digit returns. Based on our capabilities, well, we think that and compared to other investments that we have in the group. Before the pandemic, it was difficult to get these opportunities because there was a very tough competition from infra funds that they were targeting lower returns, so we're not competitive. But in this case, if we find good opportunities with these 2-digit returns and in which we can bring our capabilities, then we'll look at those opportunities and compared to other alternatives that we may have.
Silvia Ruiz: Next question coming from Elodie Rall from JPMorgan. You recently made an acquisition in India. Can you walk us to the rationale, please? And are you looking to expand further in the region?
Ignacio Madridejos: Well, India is a market in which it has a very good potential in terms of the pipeline of highways. It's also marketing with our greenfield projects. They have very good returns, and there are a few competitors that can deliver this type of projects. And it's a market that we all have never entered in greenfields, so with our construction unit directly doing these type of projects. But we found the IRB opportunity, and it's a company with good assets today that has a very good strong team and a business model that is very similar to what we do that is developing greenfield projects with their own construction company. So with that, we enter in IRB through a capital increase, and they are well capitalized today in order to develop additional projects. Before we do anything else, of course, it will take some time and to understand the market and the company, but we are very comfortable with the position we have today with IRB.
Silvia Ruiz: Next set of questions coming from Daniel Gandoy from JB Capital. First question, working capital trends in 2022, should we see a revision of the negative trend reported in 2021?
Ernesto Lopez Mozo: Okay. So I mean, working capital trends in construction are usually related to a new business being awarded and financial closings, right? So that could bring new advanced payments. Otherwise, we should be seeing some consumption of working capital, in particular, at the beginning of the year. But as I said, new business being closed would bring advanced payments. And in the U.K. in Amey, Amey is closing the defense contracts that result from still some negative working capital, but then it comes out on a very solid footing vis-à-vis prior years. So more than a trend, I think this is related to really new business being closed, as I mentioned, and maybe some seasonality at the end of the year.
Silvia Ruiz: Next question, the pending €89 million from the €200 million share buyback announced in the third quarter of 2021 results is still valid? Or the new guidance for €500 million excludes the outstanding amount from the previous year?
Ernesto Lopez Mozo : Okay. So of the -- and now you have the €89 million pending, close to €60 million have been used this year, and now the €500 million supersedes that. So we couldn't reach that full €89 million, but we have the [€5 million] in place.
Silvia Ruiz: Next set of questions coming from Dario Maglione from BNP. First question, regarding data from the 407 ETR survey on primary trip purpose, Slide 8, could you clarify what is business purposes and family commitments?
Ignacio Madridejos: Well, this in -- the part of the -- we have to differentiate what is on the top of the slide that this business accounts that is coming from the way we qualify customers in the 407. So these business accounts are -- could be heavy or light, as I commented, usually, and the work in logistics, construction or professional services. In the -- what you have on the bottom part of the page is related to a survey that was done by Ipsos. And the way they were asking questions about what was the purpose of the trips. And in this case, they separated what is commuting to other business purpose that they could have like go into the bank or going to something like that and another appointment like that. Family commitments, well, could be a wedding, could be these type of things. So it's a long set of questions, and as part of the answering, they are grouped in this way. But what is relevant here is that what is commuting that is going to work in the [indiscernible] and back in the afternoon is 16% of the personal customers percentage of trip purpose.
Silvia Ruiz: Next question, regarding Slide 7, what do you think traffic on the 407 ETR like traffic of major alternatives before August 2021?
Ignacio Madridejos: Well, in this case, not in the first wave that is in March 2020, it was completely locked down. And at that time, it was a very relevant reduction. What you see after that is that step-by-step, we're opening. Some schools, they have part of it with the physical presence in the school, and part of them were still online, and they have limitations that they were increasing. So over a period of time, what happened is in the fall, Toronto area was increasing in terms of mobility. And because of that increase, what you see is that this 407 was taken more of those trips. And these trips were mainly related to infrequent personal trips. As commented, most of our trips in the 407 are infrequent type of travelers that they don't do regularly. And what we see more of them that they decide to go shopping, or they decide to use the 407 for the weekend. That is something because of the restrictions. So because there were not many other options, they were not doing that before. So that was increasing with the elimination of the different restrictions that the people going back more to normal, that it never reached normal still. So we have to wait several -- and the last year didn't happen. And this year, whenever it happens, it will take some time until people go back to normal again. So that's the main reason, and it depends on the type of trips, and it depends also how other corridors, what kind of capacity they have.
Silvia Ruiz: Next set of questions coming from Charles Maynadier from Kempen. First question, could you give some color on both the project and equity IRR you expect to take on the Dalaman Airport investment? Also, could you give the exposure to Russia and Ukraine traffic?
Ignacio Madridejos: Well, we don't give project or equity IRR for any of our investments. But of course, we have done the investment is because it fits the profile of what we are looking for in generating our investments that is a 2-digit returns. In terms of Russia and Ukraine traffic, it represents around 25% of the international passengers, but most of them from Russia, very limited from Ukraine. But probably, what will happen is we'll see an increase from people coming from Russia because there will be not many alternatives in the Mediterranean for Russian tourists in the future. But it's too early to say what will be the consequences of what we are seeing today.
Silvia Ruiz: Next question, could you give some guidance on the expected I-66 contribution in terms of revenue or EBITDA?
Ignacio Madridejos: It's too early, and we don't give references about what will be the revenue or EBITDA. Only what we mentioned, we are optimistic about the asset, about the traffic and the type of toll road, in which, as commented previously, what we see is an area in which the household income is higher than Texas. They are used to the tolls. What we like is about the flexibility of the tariffs that we don't have any limitation. We don't have a multiplier for heavy traffic. So we are -- I mean, it looks good, but it's too early to give any guidance in terms of revenue or EBITDA. We need to wait until we start operations at the end of this year to see the evolution of the traffic and tariffs.
Silvia Ruiz: Next question, any color you can provide on dividends from the 407 ETR for 2022? Could we expect dividend statements to be above free cash flow generation of the asset?
Ignacio Madridejos: We are not giving any forecast on dividends for the 407, and the policy that we have is always to keep investment grade for the debt and giving us in all the dividends that we can, considering that they will maintain investment grade and a decision that is taken by the Board of the 407 in each quarter based on the cash available and the investment grade and the forecast in the future.
Silvia Ruiz: The last question from Kempen, could you give some color on the construction EBIT margin in 2022? Is it reasonable to extrapolate a weaker performance of last quarter '21 and hence, expect a year-on-year decrease in the construction margin in 2022?
Ignacio Madridejos: No, we can't -- we are not giving any forecast for 2022, only just confirming that the we are working, and we are on track to achieve the 3.5% EBIT margin by 2024. And I think we are well positioned to achieve that objective.
Silvia Ruiz: Next question coming from Nicolas Mora from Morgan Stanley. For Dalaman and potential JFK and after IRB and the additional stake in I-66, will you basically be done on external growth?
Ignacio Madridejos: As commented during the presentation, what we see is a very good pipeline of organic greenfield projects in the U.S., and that will be our first priority. So we'll focus on that. And we expect that we'll have many opportunities as commented in prequalified deals in managed lanes, such as the Georgia managed lanes, and solicited in which we are working or negotiated deals. So that will be our first priority that U.S. will expect in the following years.
Silvia Ruiz: Next question coming from Sonia Baldeira from Bloomberg. London Heathrow has a credit rating negative credit watch because of CAA's final decision on price control review. Could you provide us some comment on these last news?
Ernesto Lopez Mozo: Well, more than comment on the report that just came out that I think it's worth having a read and reflects that there is limited headroom in terms of some cash ratios, that's factual. I would take the opportunity to make the comments that Heathrow is making to the regulator that have been probably underscored by the ratings agency. But I mean, the question specifically for the rating agency, you should direct to them. What Heathrow has said is that there's some factual errors in terms of costs and revenues in the model also that the risk of the asset merits a different price and return. And if you take all these things into consideration, probably we shouldn't be looking to an issue here. So we will have to wait for the final decision on the CAA, but the comments from the rating agency are similar to the ones that Heathrow is making that the regulatory initial proposal is insufficient.
Silvia Ruiz: Okay. There are no further questions.
Rafael del Pino: So thank you very much for attending this 2021 results conference and look forward to engaging with you again soon. Good afternoon, and stay safe.